Operator: Good morning, ladies and gentlemen. Welcome to AAON, Inc. Fourth Quarter and Full Year 2014 Sales and Earnings Review. There will be a question-and-answer period after management's brief presentation. This call will last approximately 45 minutes. I would now like to turn the meeting over to Mr. Asbjornson. Please go ahead, Mr. Asbjornson.
Norman Asbjornson: Good morning. Prior to moving forward, I'd like to read a forward-looking disclaimer. To the extent any statement presented herein deals with information which is not historical, including the outlook for the remainder of the year, such statement is necessarily forward-looking and made pursuant to the Safe Harbor provisions of the Securities Litigation Reform Act of 1995. As such, it is subject to the occurrence of many events outside AAON's control that could cause AAON's results to differ materially from those anticipated. Please see the risk factors contained in our most recent SEC filings, including the Annual Report on Form 10-K and the Quarterly Report on Form 10-Q. I'd like now to introduce Scott Asbjornson, our CFO to discuss the numbers.
Scott Asbjornson: Welcome to our conference call. I'd like to begin by discussing the comparative results of the three months ended December 31, 2014 to December 31, 2013. Net sales were up 15.5% to $84.7 million from $73.4 million. The increase in net sales was the result of a 9.5% increase of number of units sold with the remaining increase due changes in our product mix. Gross profit increased 24.8% to $25.2 million from $20.2 million. As a percentage of sales, gross profit was 29.7% in the quarter just ended compared to 27.5% in 2013. The increase in the gross profit percentage is a combination of conversion to micro-channel and efficiencies gained from our investments in equipment. Selling, general and administrative expenses increased 3.3% to $8.5 million from $8.2 million in 2013. As a percentage of sales, SG&A decreased to 10.1% of total sales in the quarter just ended from 11.2% in 2013. Income from operations increased 42.3% to $17.0 million or 20.0% of sales from $11.9 million or 16.2% of sales. Our effective tax rate increased to 38.1% from 35.2%. The increase in income tax is due to increases in state income taxes. The company had a shift in income to states with higher income taxes. Net income increased 35.6% to $10.5 million or 12.4% of sales from $7.8 million or 10.6% of sales. Diluted earnings per share increased by 35.7% to $0.19 per share from $0.14 per share. Diluted earnings per share were based on 54,816,000 shares versus 55,417,000 shares in the same quarter a year ago. The results of the year ended December 31, 2014 compared to December 31, 2013. Net sales were up 11.0% to $356.3 million from $321.1 million. The increase in net sales was a result of the favorable reception of our new products and favorable market share gains. We estimate that approximately 5.5% of the net sales increase was related to changes in product mix and the other 3.9% was related to increased unit sales. Gross profit increased $18.5 million to $108.3 million from $89.9 million. As a percentage of sales, gross profit was 30.4% in the year just ended compared to 28.0% in 2013. Selling, general and administrative expenses increased 19.3% to $40.6 million from $34.0 million in 2013. As a percentage of sales, SG&A increased to 11.4% of total sales in the quarter just ended from 10.6% in 2013. The increase in SG&A is primarily due to a $4 million increase in charitable donations along with some increases in employee compensation and benefits. Income from operations increased 21.8% to $68.0 million or 19.1% of sales from $55.8 million or 17.4% of sales. Our effective tax rate increased to 35.3% from 33.3% due to increases in state income taxes. Additionally, the income tax provision for 2013 reflected benefits related to our R&D credit and the Indian employment credit for tax years 2013 and 2012 as these credits were retroactively reinstated on January 2, 2013. Net income increased 17.6% to $44.2 million or 12.4% of sales from $37.5 million or 11.7% of sales. Diluted earnings per share increased by 17.6% to $0.80 per share from $0.68 per share. Diluted earnings per share were based on 55,369,000 shares versus 55,587,000 shares in the same period a year ago. At this time, I would like to turn it over to our Chief Accounting Officer, Rebecca Thompson, to discuss the balance sheet.
Rebecca Thompson: Looking at the balance sheet you will see that we had a working capital balance of $88.4 million versus $77.3 million at December 31, 2013. We had cash and investments totaling $49.3 million at December 31, 2014. The investments have maturities ranging from less than 1 month to 19 months. Our current ratio is approximately 3.1:1. Our capital expenditures for the year were $16.1 million. We expect the expenditures for 2015 to be $22 million. Shareholders' equity per diluted share is $3.14 at December 31, 2014, compared to $2.95 at December 31, 2013. The company repurchased a total of 1 million shares of AAON stock under its resumed open market buyback program for approximately $20 million during this year for an average cost of $19.67 per share. I'll now like to turn the call back over to Norm, who will discuss our results in further detail, along with the outlook for the upcoming year.
Norman Asbjornson: We are very pleased with the net sales for the fourth quarter being up 15.5% and 11% for the year. Sales increased due to price increases and shifts in product mix. Additionally, redesigned products and replacement market and new construction were both healthy. As nearest we can see on the new construction market going to the census bureau numbers relative to what is going on in various markets, we find that the market increased approximately 9.7% in new construction. It is our estimate that replacement market was some more down in the 4% or 5%. There are no statistics which we can do; we're just estimating that. So a blended increase in our markets compared to our 11% which is our take on the increased margin of market share that we received. Looking at the various markets and how they performed, we have benchmarked all of our analysis on the year 2008 and all of our numbers in percentages so we can see what the relative change in various markets are. Our number one market is educational. Educational is running 74% to what it was in 2008, and it was up to 71% in 2013. Our number two market is in commercial and it had a more healthy increase going up to 71% of 2008 compared to 64% in 2013. Third one, and one that is really outstanding, is manufacturing market. Manufacturing market is running at 114% of 2008 and it was up from 97% in 2013. Number four market is our office market and it is running at 71% compared to last year at 60%. Number five market is healthcare and it surprisingly dropped a 2% to 2008 compared to 84% in 2013. Lodging is the next market, and it's at 49% of 2008 compared to 41% in 2013. And our last market is religious market which is 46% of 2008 compared to 47% last year. Combing them altogether, our markets are at 76% of 2008 compared to 70% in 2013. So there has been a notable increase. That notable increase last year was up in the new construction, recognize again a large share of our market is also replacement, is up by 9.7%. And that compares to 2013 preparing itself to 2012 when it was up 2.6%. So there has been a definite increase in the healing of the construction market. We, however, did make a little caution to you in our news release and the caution is for the following reason. We've seen a slowdown in actual order input since last fall, started the last two months of last fall and has continued into this quarter, and it's more than closely resembling a replay of last year. It's a little bit stronger than last year but not as strong as what our year was. So we have been trying to figure out what is occurring in this situation that we're not booking business commensurate with what our anticipation was. And as near as we can tell, looking at the hiring that’s going on in the non-residential construction all of which is up, all of which is continuing to indicate that it's getting stronger, all of which would possibly occur if they were breaking ground in the beginning stages of construction. So that is possibly happening; we don’t know. What also is a strong indicator is Architecture Billing Index has been stronger all the way up until last month; it went below the 50% mark again, but in total it's been strong. So it says that customers are willing to spend the money on architects and engineers to design the building. And then they had a slowdown and as near as we can see in releasing the jobs for bidding or awarding the contracts to contractors just near as we can tell. And that appears to maybe have been starting to upswing, but we don’t get the order for equipment when this break ground on buildings typically, the orders won't come to us until they are well into the construction phase. And so there is a possibility and it's commensurate with what we're hearing from our representatives who tell us they are very busy bidding jobs and they are very busy dealing with jobs but they don’t have jobs to send in. The second thing which his sort of a related matter that, and we are not too sure exactly how to explain the relationship, but the orders that we do have in-house to be built, as I said, we have weakness in order coming in since the last two months of last year, but the orders we do have the customers are really waiting for the market for their product to be shipped to the market. And we have had a big struggle this quarter, first quarter of 2015, we have had a big struggle finding shippable orders. And the way in which we handle our orders we tell our representatives, you hold on to the order until the customer is ready for delivery at our normal lead time, whatever it is at that point in time, and then enter the order; we don’t want a lot of orders in here on a hold position. And so that’s what they typically do. So their anticipation when they ordered was that we would be able to build it in our normal lead time and we are finding that is not true. When we come to the point of calling them to telling we're going to ship, they say, no, don’t ship. So we're struggling to get shipments in the first quarter of this year even though we have got orders in house that they initially entered saying they're ready. So there is something occurring in the building process after that it is slowing things down. It is our anticipation that it is not -- that the market isn't healthy. We're anticipating a substantial increase in orders occurring here anytime now. And once that happens, we suspect we will be challenged possibly to keep up with when they want shipments. It's the only explanation we can come up with for what we see taking place. But it is a caution to you that we have been booking business more closely like we did a year ago than what we anticipated since the end of last year. There is a slight indication right now that we may be starting to get back where we thought but it's just a few days of indication, so it's not substantial enough that I would want to tell you that it's happening. That's pretty much what is occurring in the building market and what we're doing. Looking at our backlog at the end of last year, you'll see that its $48.8 million compared to $45.3 million. So we do have a little $3 million, $3.50 million additional backlog sitting there that we can work out of. And that will help us on our actual shipments in the first quarter, except for the problem we are having with shipping because the customers won't take the shipment. But it does give us a little cushion in there going into the second quarter. So now, if the second quarter starts booking business as it -- as we expect it to, our normal lead time is somewhere around to eight weeks. So if we have good bookings in March, let's say, that's not going to be shippable business for eight weeks. So it's still not going to help our second quarter all that more. Much we are still going to be struggling in the second quarter on shipments even though the orders may be turning up, and that's the question that we're raising. Definitely, we still expect to be doing better than we did last year, but it's not to the extent that we had anticipated it was going to be. So our capital expenditures have gone up a little bit. And part of the reason for that is that we are pretty optimistic about the longer term marketplace and we have been working for some 10 years trying to define what kind of a new laboratory we need to have. The new laboratories are going to be at least for a brief period of time obviously, because it will be new, it will be -- if not the most technically advanced, it will certainly be among the most technically advanced laboratories anywhere in the world. We are also building a very large lab anticipating future growth of the company and so we got futures built into the lab. The lab will be about a $26 million expenditure going over the next three years. And the beginning money of that is based into the year 2015. We will break ground this year. We have had a functional design of the lab and worked for several years and we finally got it to where we feel the functional part of the design is what we want. And so now we are hiring and architect to put an enclosure around our functional design. So all the dimensions and everything, all the details are all worked out and the functional design, that will not be the architect's issue. His will be enclosing the functional design we have already designed. And so we're well along on the road. And we're pretty solid in what we think is going to cost us. And the $22 million, just to give you a guesstimate, is roughly what we're anticipating for the next few years when we got this under construction. So there is not going to be any big blip in operation due to the construction even though a large part of that is going to happen not this year but next year, when we will be putting the build -- the actual building will be coming out of the ground. I'm now going to open it to questions.
Operator: [Operator Instructions]. Your first question comes from line of Jon Braatz from Kansas City Capital. Please go ahead.
Jon Braatz: Norm, as you sort of search for an explanation for some of these shipping delays, any thought that there is some weather consideration that might be impacting the shipment delays?
Norman Asbjornson: Yes, it is. However, we did have impact in the last year.
Jon Braatz: Yes. All right.
Norman Asbjornson: So it's somewhat a similar thing. And one of our strongest market is the upper Midwest and the Northeast, and of course, that's kind of the part of the country that's getting hammered a little more than any other part this year. So it is definitely a factor.
Jon Braatz: Okay. And then secondly, Norman, in the press release you talk a little bit about inflationary pressures, raw materials, labor and so on. And quite frankly, we haven't heard much about much inflationary talk from anybody, its more deflationary talk. What are you seeing on that front and what's impacting your business in terms of the cost pressures?
Norman Asbjornson: Most of it comes from competent manufactures trying to get themselves a little healthier. And so they are trying to push through a little bit of the increase to us and that's where the majority of the pressure is being built. The other part of the pressure is, if you look at commodities aluminum has gone up a little bit. And of course, one of our big cost savings was going to all aluminum coils, so that makes us a little more vulnerable on copper -- on aluminum than we have in the past. And that's the two major replaces which I see. Up until now, we pretty well have been offsetting it. And our last price increase goes back to March, 2013. We still have not implemented a price increase, because we think so far and you can see it by our numbers, it's supported by our numbers, there has been enough deflation or enough improvement in our operations. So we have not only been able to offset any other cost increases, we've actually improved our bottom-line. And we don't anticipate a price increase going forward in the near future because we don't think the inflationary are significant enough that they're going to offset what we're going to gain by the additional volume and what overhead absorption we help with that plus or just general improvement in operations. The company is running really well right now. And I'm not certain how much more productivity we can get out of it, but it is really running well.
Jon Braatz: Okay. So at this moment, this is the level of inflationary function that you are seeing you think you can more than offset through productivity improvements and efficiencies and so on, okay.
Norman Asbjornson: That’s correct. The reason we bring it to the fore is that for the first time in a couple years we actually see a little thing which we would call a trend line, it's kind of tipped up.
Jon Braatz: Okay.
Norman Asbjornson: It's upper. Till now its tip-up, tip-down or been flat.
Jon Braatz: Okay.
Norman Asbjornson: And we think there is a little tip-up has occurred.
Jon Braatz: Okay. Have you -- speaking of a little increase in aluminum, have you hedged at all from your cost?
Scott Asbjornson: No, we have not.
Jon Braatz: Okay. All right. Thanks, Norm.
Operator: Your next question comes from the line of Joe Mondillo from Sidoti & Company. Please go ahead.
Joe Mondillo: So just a follow-up on the last question. So you are seeing increases in component cost, but copper is down, I think steel is down. You say productivity will offset it but will not -- the savings that you see in steel and copper, won't that help offset it?
Norman Asbjornson: Very definitely. Yes, they definitely would help.
Joe Mondillo: So if you look at steel copper and then components which I believe are the bulk of the input prices in terms of raw materials. On average if you incorporate all of those sort of what it does like that look it?
Norman Asbjornson: Well if we look at what has actually cleared on page 15 of our 10-K you'll see that steel actually is up 2.2%. And stainless steel, which we use fair amount because we do certain parts of our unit that are subject to corrosion and everything rather than putting a protective coating on like is the industry standard we go to stainless steel s which is a far superior methodology, and stainless is up 3.4%. Aluminum, which I spoke of, is up 8.6% the part that you are seeing the down was on copper 5.1 but recognized by going to the aluminum coils we got away from a lot of our copper usage. So one of the things that we would have gotten a lot of benefit from the before and the copper we don’t any we would still get it; I'm not saying we don't get it but we probably took about third of our benefit away when we got rid of the condenser coils with the copper and then went to the aluminum coils.
Joe Mondillo: Okay. And then given the inventory of your raw materials when will this start to flow through well happen in the first quarter or it will be more so in the second quarter?
Norman Asbjornson: You mean as far the increases?
Joe Mondillo: The increases in your cost of goods sold related to this given how much inventory you hold in terms of raw materials? Will it start to occur in the first quarter or more so in the second quarter?
Norman Asbjornson: It's all really occurring.
Joe Mondillo: Okay.
Scott Asbjornson: Those numbers were from the 10-K and so those percentage changes were reflected in the numbers over the course of last year.
Norman Asbjornson: So we’re into those, on a year-to-year comparison we're already been in a for a while now.
Joe Mondillo: Okay.
Scott Asbjornson: We were even to some extend of the fourth quarter.
Joe Mondillo: Staying on the gross margin, in terms of product mix in the second half of 2014 if you look at the AHRI data units above 320 tons actually performed much better than the units below 320 staying above 60. So within that non-res sort of space, how much was the gross margin listed in 2014 related to a product mix were you are shipping maybe more heavier tonnage units and maybe the year before and --
Norman Asbjornson: I will turn that over to Scott and see if he can give us an answer there. I will tell him that we try and make the same in almost all of our products. So we don’t get a large benefit from a product shipped to launch.
Scott Asbjornson: But there was some benefit and we estimate that approximately 5.5% of our sales increase for last year was related to the change in our product mix from last year whereas only about 4%. 3.9% of it came from the increase in the unit sales as far as number of units being sold. So we think of 5.5% of our increase in sales last year came from the mix of products that we were selling.
Scott Asbjornson: Okay. So that 5.5% is --
Norman Asbjornson: Bigger product is what is --
Scott Asbjornson: Bigger products.
Joe Mondillo: Bigger products, okay. Do those bigger products carry at all higher gross margins?
Scott Asbjornson: The overall margin tends to be very similar; it has a little bit higher margin we believe but it's not a significant differential.
Joe Mondillo: Okay. And then in terms of our going -- switching over to your comments on sort of the slowdown that we made particularly be seeing right now the orders growth that you saw in the fourth quarter orders were up 15%, the backlog at the end of the year was up 8% to going into 2015. What are you order growth year-over-year is like in January and February?
Norman Asbjornson: None.
Joe Mondillo: So sort of flat from a year-ago.
Norman Asbjornson: Correct.
Joe Mondillo: Okay. So I would imagine the second half of the first quarter would potentially be sort of flattish year-over-year and the first half would actually be up given at the backlog heading in the 2015 was up. Is that a fair way of looking at it?
Norman Asbjornson: That's a fair guess. The only thing that disturbs that is the lack of willingness on the customers to take shipment. Here is where we -- we got down to the end of this month and the production had -- we have two people do nothing but communicate with our sales force on shipments and everything and these two people were constantly busy trying to find people who would take this shipment. And I don’t know exactly where we ended up but three or four days ago, we have a lot of flexibility and we juggle lines around here on how we put people on lines where ever we can to speed things up, and he was doing a huge amount of juggling more than this ever normally done trying to build stuff that we could actually ship. And I told him the first of this week okay seize the juggling act, make your best guess, build it out and if they won’t take it we'll just have to sit on it. So the last two days of this month that we just right now today and tomorrow some of that stuff that w had hoped to ship will probably sit over. So considering that we’re building a little bit more than a $1 million a month or around a $1 million a month between the two facilities, we're possibly going to sit off a chunk of dollars.
Joe Mondillo: Okay. So if you combine sort of the orders sort of flat lining in January and February and the fact with the issues with the shipments, it seems like if you run through the numbers you could potentially be looking at maybe flattish sales maybe slightly up year-over-year in the first quarter
Norman Asbjornson: That's a correct assumption.
Joe Mondillo: Okay. And just lastly, the SG&A as a percent of sales, if you exclude the donation that you made in 2014, as a percent of sales it ticked down a few about a 30 basis points it looks like which is pretty good. Just wondering what your thoughts in 2015 if we continue to see top-line growth, do you anticipate that as a percent of sales to come down, and even if your revenue was flat is there any reasons why that should come down or what do you are thinking of SG&A as percent of sales this year?
Scott Asbjornson: Well as a percent of sales, you're right, if sales go up it should come down as a percentage of it. The dollar value we don't anticipate seeing come down significantly other than for the adjustment related to the donations which we are not forecasting any large donations this year.
Joe Mondillo: Okay. So if the sales or flat you should be sort of around where you are in 2014 just hypothetically?
Scott Asbjornson: Hypothetically that would be correct. Yes.
Operator: Your next question comes from the line of Brent Thielman from DA Davidson. Please go ahead.
Brent Thielman: A couple of housekeeping questions and a few others. On the tax rate you mentioned some shift in mix in states impacting the quarter. How should we think about that going into 2015 in terms of the tax level?
Rebecca Thompson: So one contributing factor but not probably the main factor is the shipped in outside sales at our subsidiary in Texas. Before a lot of -- most of it sales in a company but they have more outside sales about 50%. So that small portion of the shipping state Texas, but most of it is coming from AAON Oklahoma. I would expect for the next year for to be similar to 2014, but it really depends on where our sales or going to.
Brent Thielman: No, understood that's helpful. And then as a remainder, we should be thinking about CapEx in the $18 million to $20 million range for 2015 still?
Scott Asbjornson: No we are planning on 22 for 2015.
Brent Thielman: Okay 22, great. Thank you. And then Norman or Scott we’ve noticed some companies not necessarily HVAC related discussing some more progress in the institutional public building sector, is that your observation regard to kind of your general order trends?
Norman Asbjornson: This is our U.S. Census Bureau data, which should can pull up on the Internet, and they give you categories of things, that what I was working of a little while ago. For instance, institutional tight things biggest market we have is educational; educational is -- I'll give you a number. I'll just read the number often this is in millions and millions whatever educational for 2014 77,719 the next closet one through that is when we jump up to commercial and just a moment here commercial is 60995. This is from census bureau dollars put in place. The next one we drop down to manufacturing 60901. And so educational is the big one now what does happen comparing to 2014 it went from 74819 to 7719 which is going from percentage is going from 71% to 74% of what it was in 2008. That is not dramatic upturn in an institutional market; it’s a slow its actually dragging the one that's really taking all of is like manufacturing and commercial taking of a lot of better the whole lot of them were taking off better than what I would call the best part of the institutional lock which is education.
Brent Thielman: Okay. But not maintenance --
Norman Asbjornson: These are practical numbers. So I would argue with anybody saying it's something else.
Brent Thielman: Well I guess I'm just thinking in terms of our actual your bid activity obviously stuff that hasn’t been put in place yet?
Norman Asbjornson: Well, Joe, as far as tracking those numbers of buildings, what’s happening in the building market and so I wouldn’t tell -- we’re not going to experience more educational and in institutional when it’s not growing as fast as some of the others. So in our case we would not tell you that.
Brent Thielman: Understood, appreciate that. And then back to the kind of thinking about the order trends we’ve seen today I’m just thinking beyond the first quarter. I mean I guess should we infer that a low double-digit path line growth rate like you saw in 2014 might be difficult to repeat in 2015 or is it just too early to speculate about that?
Norman Asbjornson: I’ll let Scott talk about it little bit here about what we got so far, but with the exception of what’s happening to us in the first quarter we’re anticipating quite a substantial upswing from everything we can see following the employment of personnel, the government puts starts statistics about where the increase in employment is. And there’s increased employment in non-residential construction, has been in the past couple of months. And the ABI I would indicate that it’s going to be stronger. All of our communications to our sales force is that they cannot do very busy here looking for them. So we expect to get back somewhat toward, maybe we will get back totally toward, we are not too certain yet of where we anticipated say, four or five months ago. We got to push out here in the building process, and we’re just not sure how much of it we are going to recover in the last part of the year. But it’s going to be a busy year, we’re pretty certain of that other than the first quarter.
Brent Thielman: Okay, okay, thank you. And then just back on the comments around some cost inflation, Norm or Scott in the past when you’ve seen your component costs rising in a deflationary environment, which we seem to be seeing, has there been a tendency for those particular costs to reverse course eventually?
Norman Asbjornson: Generally, they drop off early on when the things go down. Generally, they stop increasing, first of all, and then we’re able to, in some cases, we’re able to get a reduction in the component cost as you go through a recession like we have. And then it goes stable for a while and then when they get a little more optimistic out there and think they can get some they’ll be out there a little faster than inflation trying to get their price increase. And that’s the [indiscernible] right now is they all trying to get us to take one and of course in some cases we have some choices and in other cases we can choose between various vendors, and so we can litigate it to some extent but we are seeing that that is starting to occur now. So we think we are into that next phase of when it is going to go up if the market takes off like it short. Now the other side of that, all of that about costs is that the United States goes on running the whole marketplace, the world does, and the rest of the world is struggling. And so a lot of those commodity costs and things are going to reflect the world, not necessarily the United States, but some of the component cost reflect more the United States because those costs are incurred in the United States.
Operator: Your next question comes from the line of Brian Loftus from HARDI. Please go ahead.
Brian Loftus: Hi, good morning all. I was wondering if you help me understand the backlog number. When I'm looking at, it was around $50 million a few years ago when your sales were around $250 million and now we are at around $50 million when your sales are around $350 million. I was wondering if construction processes have changed, I mean, building is seem to go up so fast nowadays. I was wondering if construction processes have altered the major backlog shorter. Did that make sense?
Norman Asbjornson: You are right on. To what extend I couldn’t quantify, but I totally agree with you generally line of thinking. It has moved on and so we're given much time to build product to meet the customers' requirements than we used to be given. The other thing there has been a fundamental shift in AAON's capabilities and this is something you need to be aware of and I need to talk may be a little bit more, but for the first 25 years or so roughly, that's not an absolute 20 some years I should say of our existence we struggled to keep up with our demand. Now that wasn't true every day of the year, but it is a general statement throughout that time we were always, the true point in our operation was always internal. And that we in and out, but I'm just making a generalized statement. Somewhere a few years ago we started turning the corner. We started getting ahead with our internal capability, started getting ahead of orders we could actually get out of the marketplace. And this past year we have announced and we're really into doing it we changed our investment, if you will, from so much on the dollars being invested in totally and our attention being invested internally to solve our problems internally, we are now giving more attention to our external problems, which is our market problem. And toward that end we have gone from this time last year we had four regional managers. We presently have six regional managers and we have an offer out for seventh one. That's a 75% increase in the most fundamental part of our marketing effort to obtain more business. Those people are very talented engineers with considerable building experience, knowledge about buildings and they can help our sales representatives knowledge-wise and they can help make presentations to customers and help advice. So we are putting a lot more emphasis in getting orders and that will take a while it doesn’t happen on day one but given it a couple or three months of activity to when these people get themselves in place we will see an improvement in our ability to take market share and also to make certainly handle this as we get as well as we can handle it. We think we are up to speed internally to be able to handle a considerable amount. So what we are trying to do is find a considerable amount up there and I call it companies -- and you have an operations part of the company and you have a hunter part going back to the primitive thing, somebody out looking for the meat or trying to find some place to grab the meat, okay, and that's where we are putting the emphasis on in the company at the present time because the operational part we are able to handle a lot more than what we have right now.
Brian Loftus: All right, that’s super. Sticking to the backlog, does that include replacement sales also?
Norman Asbjornson: Yes, it does.
Brian Loftus: With your marketing effort and the meat gathers are they focused more on -- is there a balance into the care new construction versus replacement? And then associated with that, I was wondering if you had any insider thoughts on in aging installed base, these are two things that could drive replacement demand, older equipment and the efficiencies as some of the newer equipment that's on that really makes the replacement decision makes it work.
Norman Asbjornson: Well, there is a lot of wheels in motion to replacement. If an order we're really doing a thorough job of analysis it would obviously be analyzing his total cost of ownership, which is obviously energy, is one of the biggest ones. But here is couple other ones that are huge. People who maintain equipment, the hourly cost can be over $100 now or for a good maintenance and in some parts of the United States. And in all cases its well up in the $70 or $80 an hour. So if you have to do very much maintenance on it, you spend a lot of money on that equipment. And here is the sleeper that's coming around very quickly. As we change from one refrigerant to the other through governmental actions, taxes, availability and a whole lot of things, the refrigerant which is R22, which is no longer being used in new construction is now only available and in a diminishing and its being mandated to be diminishing by the federal government. It's taking the right to the chemical companies to build the refrigerant diminishing their quota, if you will. And so the price is escalating very rapidly. And right now, I don't know what R22 -- I haven't done a recent check. But say two or three, four years or five years though we were buying it in the bulk for less than $1 a pound. Now, it's up $25, $30 a pound in the replacement market, a huge increase in cost of refrigerant. And it takes about 2 pounds refrigerant for every ton of air-conditioning and a piece of equipment. So like a 10 ton units is going to have 20 pounds. Where it used to be $20 worth of refrigerant, now its $600 worth of refrigerant. So if they lose refrigerant they'll have to replace it. There is a lot of money to keeping up some of the old product, because most of the old product that's out there is R22 driven product. So there is -- I heard a one school district where they said that if they had a leak in a unit over so many times in a year, if they had two leaks in the unit, the second time they did it, they didn't even bother fixing it even though it was still functional and everything. They just decided they'd replace it. So they got it into the new refrigerant. So that's a new ballgame that most people don't recognize and aren't involved in. But it's going to become a bigger ballgame as surprise of R22 continues to escalate and actually become unavailable.
Brian Loftus: All right. That makes a lot of sense. So I guess that would indicate that some of these new -- bulk of the new marketing people are going to be focused on the replacement market then.
Norman Asbjornson: Let's say, it's going to help that way. That's where putting on now the two people we put on are both those regional managers we picked up a couple very, very capable long time seasoned people both in our excess of 60 years of age and higher demand so that we got first class knowledge. They don't have a learning curve on anything other than learning about AAON. But as far as learning anything about what they got have to do, they don't have any learning curve to go through. And so we expect them to hit the ground running very quickly. And the third one that we're in process of isn't quite that age, but is similarly equipped knowledge-wise. So we are going to take a long time bringing him up to speed.
Operator: Your next question comes from line of Don Porter from Dalton, Greiner. Please go ahead.
Don Porter: Hey. Good morning, gentlemen. I had two questions. One pertains to the 5.5% increase as a result of mix. Can you just kind of address what that is? Is that larger units? Is it higher price units? What's kind of causing that?
Scott Asbjornson: A lot of its just -- 5.5% of it came from more expensive equipment. So it could be a mix of features and options. There was some that was geared towards the larger tonnage in that 5.5%. But it also includes just more feature and option rich equipment that was being ordered during the year.
Don Porter: Is that a trend? Is that like an -- is it an improvement in the economy? You're seeing people go for higher-priced units or is it -- just should we be thinking it is a trend going forward or is this kind of a more one-off?
Norman Asbjornson: Well, I think it's a trend going forward from our standpoint. I believe we are going to continue to gain a little bit better share of the market. The bigger the market, the fewer the people are in it because the fewer, the smaller is the dollar amounts that's available. So a lot of people. Everybody cuts off at some point. And the high volumes cuts off down in the smaller tonnage just that. So you have less competition. So there is more potential for unit growth with the bigger ones, if you're already there. It's just that it's a smaller market. The other part that we are seeing happening is recognize the kind of company we are compared to the industry. The industry is largely populated with customers who are first cost -- more first cost driven and they are total value driven. When we came in to market, we came into the market as a total value company as opposed to a first cost company. So we have been out looking for people who look in a total value of a buy as opposed to the first cost of the buy. And as we've gone in we obviously nothing is just pure black and white, everything is a gray, so to speak. So as we managed to do that we’ve been becoming more and more effective at moving from if you had to put ourselves in the white side and after the represents anything say that the more value driven was white side and the black side was cost driven. As we had headed down toward the black side further and further we’ve got better what we're doing and that side of the market of the people recognizing they should look at something other than first cost. It is growing as people become more and more knowledgeable by having gotten to the point, for instance, they've got a job they are needing a replacement. They already know the bad parts; if they have bad parts about the products that they are replacing, they are well aware of those bad aspects whether its energy usage, maintenance cost or the fact that water out prematurely, whatever it is and they are more susceptible to our sales pitch of better buy value the next time rather than buying first cost because you are paying for it now. And so as we get there we get the ability to get them buy in with fewer options, and this is a crucial part whatever talking about, fewer options means its sometimes were 10 ton units that we ship this year might actually be cheaper than the 10 ton unit we ship last year because of those many options on it. So we have various things going in play here in this 5.5%.
Don Porter: Got you.
Norman Asbjornson: Everything is an additive, some of it is subtracting too.
Don Porter: Okay. And that mix to the higher priced unit is that also causing the margins to be higher is that a positive?
Scott Asbjornson: Yes. That is obviously also assisting the margins and so its assisting our overall revenue.
Don Porter: Right. When you think about margin structurally they look very good. When you think about I would say three components of raw material this mix and also equipment upgrades, how sustainable do you think the margins are here? Do you they are structurally higher given the mix and the equipment upgrades or what do you see some pressure as you see some inflation coming from raw materials?
Norman Asbjornson: Recognize what we drive for, what is our goal. Our goal isn’t percent profit; our goal is total dollars of profitability, that's our goal. Whether we get it with higher margin or lower margin it's not as important to us as we get more total dollars on the bottom-line. So we are running at a higher or as higher level as we think we should be; we are well above -- we’re double and more than double what most of our competitors are doing. So we are well up in the upper reaches. We could, if we chose, to drive our margin up, we can do so and drive our volume down. But we think we would also drive down our bottom-line, and that's not our goal. Our goal is bigger bottom-line. And so we're leaving for two years now March, 2013 was the last price increase. We’ve left it alone because we figure that there's a enough benefits in other ways and if you look as our go back to 2013 and compare our 2014 number, its sustainably better than 2013. So our ball game is working only as working even better than we thought it was we’re actually getting more margin because we’re able to control our costs and things better than we thought we would. And we’re also, by not raising prices, we’re getting a bigger chunk of markets so we’re putting more bottom-line dollars. So everything is running for us. Now the first thing that’s going to collapse us to some degree is the margin, because we again are focused on total dollars. And so we'll sacrifice some margin if we have due to get the dollars.
Operator: Your next question comes from the line of Joe Mondillo from Sidoti & Company. Please go ahead.
Norman Asbjornson: Hi, Joe.
Operator: Joe, remove your phone please on mute. And we have no further questions at this time.
Norman Asbjornson: Okay. Thank you everybody for attending our discussion of our thing. We appreciate your support. We feel very comfortable thinking that we are going to give you results for the next foreseeable future that will make it worth you are staying with this. Thank you again.
Operator: This concludes today's conference call. You may now disconnect.